Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Penn National Gaming Third Quarter Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Joe Jaffoni with Investor Relations. Please go ahead.
Joseph Jaffoni: Thanks, Amanda, and good morning, everyone. And thank you for joining Penn National Gaming's 2014 third quarter conference call. We'll get the management's presentation and comments momentarily, as well as your questions and answers. But first I'll review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties. These statements can be identified by the use of forward-looking terminology such as expects, believes, estimates, projects, intends, plans, seeks, may, will, should, or anticipates or the negative or other variations of these or similar words, or by discussions of future events, strategies or risks and uncertainties, including future plans, strategies, performance, developments, acquisitions, capital expenditures and operating results. Such forward-looking statements reflect the company's current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from expectations. Risks and uncertainties associated with the forward-looking statements are described in today's news announcement and in the company's filings with the Securities and Exchange Commission, including the company's reports on Form 10-K and 10-Q. Penn National assumes no obligation to publicly update or revise any forward-looking statement. Today's call and webcast will include non-GAAP financial measures within the meaning of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release, as well as in the company's website. I will now turn the call over to the company's CEO, Tim Wilmott. Tim?
Timothy J. Wilmott: Thank you, Joe, and good morning everyone to Penn National Gaming's third quarter 2014 earnings call. With me here in Pennsylvania today is Penn's Treasurer, Robert Ippolito; our Senior Vice President of Public Affairs, Eric Schippers; our Chief Operating Officer, Jay Snowden; our General Counsel Carl Sottosanti; our Chief Development Officer, B.J. Fair; and also our Chief Financial Officer, Saul Reibstein. I'm going to state some introductory remarks and then Jay's going to follow me to talk a little bit about the business trends we saw in the third quarter and also give a bit more color to the 2 openings we had in Ohio with the racinos that occurred in the third quarter. Saul's going to follow Jay with an update on our fourth quarter guidance thinking and also some general financial statistics. And I also thought it would be good for Eric to give an update on our Massachusetts campaign given the fact that we're less than 2 weeks away from election day and how we're seeing that campaign up in Massachusetts at this point. But to begin, you all saw the results and, again, I think it showed in a tough environment out there that we were able to deliver very solid results and exceed our guidance for the third quarter in revenue, EBITDAR and EBITDA. And that was inclusive of slightly over $2 million we spent in the third quarter on the Massachusetts campaign. And I have to continue to applaud our properties for continuing to manage their businesses and keep control of their variable cost and deliver the margins that we produced in the third quarter as well. The team continues to manage very well in a difficult environment. In the third quarter, we had a number of things that were significant. We saw on August 28 the opening of a 154-room hotel at our Zia Park facility in Hobbs, New Mexico. And also at the same day, we opened up our Dayton racino. And then a couple of weeks after that, on September 17, we opened up the last Ohio VLT facility in Mahoning Valley near Youngstown, Ohio and I'm pleased to report that both of our Ohio new operations are off to solid starts. As we look into the fourth quarter, I mentioned before, in a very short period of time, we'll know the outcome of the question 3 repeal, the casino vote in the Commonwealth of Massachusetts. And also, we expect probably shortly after that, to get the decisions from the state of New York regarding our proposal for a New York live facility in South Blooming Grove, Orange County, New York. We are one of 16 applicants competing for those 4 licenses and we've partnered with The Cordish Companies. And the indication we get from the state of New York is that a decision is most likely to come very, very shortly after election day. And we also continue to proceed very well with our development in Southern California with the Jamul Indian Village and continue to project a mid-2016 opening for that facility as well. So those are my introductory comments. I'd to now like to turn it over to Jay Snowden to talk a little bit more about general business trends. Jay?
Jay A. Snowden: Thanks, Tim. As was highlighted in our earnings release, our regional and property operating teams continue to do an admirable job navigating what has been and continues to be a challenging consumer environment to deliver solid margins and results certainly on a relative basis. Of particular note in Q3 from a database perspective, our trends were less negative than previous quarters. Visitation and spend per visit trends improved slightly on a sequential basis, excuse me, particularly at mid-lower worth and unrated segments. Revenues held up better than anticipated in markets with new supply, namely, our Charles Town and Penn National Race Course facility. The Horseshoe Baltimore property opened on August 22. So it's been open for a little north of 2 months now and has had no material impact to date. Consistent with previous quarters, we saw a slight margin improvement in 2 of our 3 regions. Actually would have been 3 of 3 if you exclude the preopening expenses associated with the 2 tracks in Ohio. And again, we're successful at reducing our corporate overhead to the tune of approximately 20% year-over-year. We had strong openings of 3 new assets, Dayton, Ohio; Mahoning Valley and our 154-room hotel at Zia Park in Hobbs, New Mexico. And we're certainly pleased with the aggregate results, though the composition is... [Audio Gap] [Technical Difficulty]
Timothy J. Wilmott: Again, I apologize for the disconnect we had on our end here in Pennsylvania. I will turn it back over to Jay Snowden to give a bit of an overview of the general business trends that we saw in the third quarter. Jay?
Jay A. Snowden: Thanks, Tim. And not knowing where I got cut off, I'll start at the top. As highlighted in our earnings release, our regional and property teams continue to do an admirable job navigating what has been and continues to be a challenging consumer environment to deliver solid margins and results on a relative basis. Of particular note in the third quarter and from a database perspective, we're seeing visitation and spend per visit trends that improved slightly on a sequential basis, particularly at the mid- and lower worth, as well as unrated segments. Revenues have held up better than anticipated in markets with new supply namely our Penn National Race Course and Charles Town facility. The impact from Horseshoe Baltimore opening on August 22 has been nonmaterial to both properties up to this point. Consistent with previous quarters, we saw slight margin improvement in 2 our 3 regions, actually would have been 3 for 3 if you exclude the preopening cost associated with the 2 Ohio track openings in late August and September. And we again were successful at reducing corporate overhead year-over-year for the quarter by approximately 20%. We had strong openings of 3 new assets: One in Dayton, Ohio; Mahoning Valley, Ohio that Tim mentioned; as well as our 154-room hotel addition at our Zia Park facility in Hobbs, New Mexico. Certainly pleased with the aggregate results, though the composition has been a bit different than we anticipated as Mahoning Valley has shown a strength beyond our forecast and Dayton being in a more competitive market is likely to be a bit of a slower ramp. But overall, happy with all 3 of these new assets and what they're delivering for us. And as was probably covered by the local media in Dayton, Ohio, we did have a onetime promotional error in our second full weekend operation that impacted us on a net slot revenue for the month of September of over 10% impact. So though not material overall for the company, certainly for the property in the month of September, it was material. Now when combined, all those factors resulted in net revenue and EBITDA that exceeded guidance for the third quarter. And as Tim mentioned, so that's inclusive of $2.3 million of Massachusetts lobby expense that was not contemplated in our Q3 guidance. Looking forward, October, month-to-date trends largely mirror what we experienced in Q3 and our new offerings in Ohio and New Mexico continue to ramp nicely. The promotional environment across our portfolio of properties is largely stable and remains rational with the exception of the 2 major markets in Missouri, St. Louis and Kansas City. It's elevated from a competitive perspective as we experienced in Q2. That continued into Q3 as well as what we're seeing in October, unfortunately. Q4 guidance is perhaps a bit -- we're taking a bit of a conservative stance. But given that when Maryland Live! opened, we did see more of a delayed impact to our Charles Town and, to a lesser extent, Penn National facilities. We felt it was the prudent position to take at this point. We hope that that does turn out to be conservative. With that, I'll turn it over to Saul to walk you through the details of our Q4 guidance.
Saul V. Reibstein: Thanks, Jay. Good morning, everyone. As you've seen from the press release, and as many have already noted, our guidance for the year is unchanged for the second quarter, other than to include the $3.5 million beat for the third quarter. Our process for estimating guidance has also been unchanged. We undertook our regular detailed property-by-property review and considered all available factors and data. Guidance for the remainder of the year is very consistent with the trends we have seen throughout 2014. Our Dayton and Mahoning Valley properties are still very new and we continue to believe our original estimates for those markets are the right ones. We have yet to see the full impact of Horseshoe Baltimore on our Charles Town facility and as you know, the low-end customer continues to be challenged in today's economic conditions. Just to emphasize one point from our press release however. After removing the impacts from the now closed Sioux City facility, our revenue for the third quarter exceeded guidance by $10.8 million or 1.7%, which produced an EBITDA beat to guidance of $6.5 million or 10.7%. This 60% flow through results confirms the effectiveness of managing margins, controlling cost and controlling corporate overhead. Now to highlight some of the important data points for you, cash on hand at the end of the quarter was $230.7 million. Maintenance CapEx for the quarter was $21.4 million and 65. [Audio Gap] [Technical Difficulty]
Timothy J. Wilmott: Thank you, Amanda. Again, I apologize and we'll make sure this doesn't happen again in our next call. But Saul, why don't you continue with your financial statistics?
Saul V. Reibstein: Sure. I was at the maintenance CapEx. For the year, is projected to be $78.3 million; project CapEx without Jamul for the quarter was $106 million or 229.5 for year-to-date. On an annual basis, our cash tax rate is at 38% and our GAAP effective tax rate at 69% for the year. Weighted average shares outstanding are 80.377 million. Preopening expenses for the quarter were $5.7 million and $8.8 million for the 3 quarters.
Timothy J. Wilmott: Thank you, Saul. Next, we have Eric Schippers to give a brief update on what we're seeing in Massachusetts so approximately 12 days before election day. Eric?
Eric Schippers: Thanks, Tim. One thing that's been unique about our campaign in Massachusetts, there certainly has been no shortage of polling that has been publicly reported by the news media. And as you can see from the latest numbers from the Boston Globe today, which are pretty consistent with what other news outlets are reporting, the current polling is about 53% for the no side, in other words, preserving the current gaming act, to 39% for a repeal of the act. As I said, that's pretty consistent with reports from other news media. Having said that, we are taking nothing for granted. As we've reported before, we're part of a very broad-based coalition that includes organized labor, local and state officials across the state. We're going to be making an announcement later today that the fire and police unions are with us as well. And so again, it's a very broad-based coalition. And we are going to be spending the next week continuing to get our voice out there to talk about what's at stake in this election, which is, namely, the 10,000 new permanent jobs, the $2.6 billion in economic development that's going to occur in the 3 communities that voted over overwhelmingly to support this. And as we talk to mass voters about recapturing the $1 billion that crosses the border every year to neighboring jurisdictions, we feel pretty confident. But taking nothing for granted, as I said, and are hopeful for our chances on election day.
Timothy J. Wilmott: Thank you, Eric. And just to remind everyone that in our fourth quarter guidance numbers, we do not include any spend for this Massachusetts campaign like we did in the third quarter guidance that we provided a while back. So with that, operator, I'd like to now open up the call to any questions that may be out there from the audience.
Operator: [Operator Instructions] Our first question comes from the line of Shaun Kelley with Bank of America.
Shaun C. Kelley - BofA Merrill Lynch, Research Division: Just wanted to go back to, I think it was in Jay's prepared remarks, where you talked a little bit about some of the -- some modest improvement at the lower end of the consumer database. It's been a while since we've heard anything positive on that side. So could you just give us a little bit more color maybe about, maybe what and perhaps where you're starting to see some of that improvement?
Jay A. Snowden: Sure. And it is slight improvement, as I mentioned in my remarks, and still down year-over-year, but it's just nice to see that the negative number is less than it was in Q2 year-over-year and Q1 year-over-year. So I wouldn't say that we've bottomed out. I wouldn't say that we're seeing stable results from the low-end of our database. But we are at least seeing some improved, again, on a sequential basis, results versus previous quarters.
Shaun C. Kelley - BofA Merrill Lynch, Research Division: And are you actually seeing any signs of -- could you just break it down in traffic versus ticket for us? Just are you seeing any signs of nonrated or lower-rated plays actually -- some of those customers trying to filter back in to the properties at this point?
Jay A. Snowden: Well again, it's relative to where we've been. We're not seeing growth per se at the unrated or the low-worth segments of our database. But the declines are less severe than they were in previous quarters. And that's both on the visitation side as well as the spend per visit. So it's -- I would call it encouraging. I would not say, like I mentioned earlier, that we're in the clear here. But we hope to see that continue and October has shaped up similar to what we experienced in Q3 to date.
Shaun C. Kelley - BofA Merrill Lynch, Research Division: Okay, that's helpful. My last question would just be, when we go through segment reports, it looks like the West segment saw some pretty material year-on-year growth. It definitely beat our model for what we were expecting. I was wondering if you guys could provide some color? Because I think largely in that segment, we're looking at M Resort and Zia Park. Maybe what you saw at those properties and bringing in the contribution from the new hotel, that'd be helpful.
Jay A. Snowden: Sure. So we opened the Zia Park Hotel on August 28 and have been very pleased with the result thus far. We've seen strong visitation and reaction from our database to the hotel. And the spend per trip from the customers who were staying in the hotel is up 50-plus percent from their typical trip value. So we're seeing nice results out of the database. It's also a strong cash market for us during the week. It's been a little bit slower ramp on the weekdays, but the weekends have been very strong. And M Resort, those Las Vegas locals market has been one of the more stable, rational from a reinvestment perspective on the marketing side. And we're holding our own there. We saw some improvements in a couple of our database metrics in the third quarter. We did have a little bit of noise last year in our M numbers that deflated the results a bit so there's a few factors to keep in consideration there. But overall, we're pleased with both the performance of Zia Park and M.
Timothy J. Wilmott: To remind everyone, Sean, Zia -- the Zia hotel depends on a number of feeder markets from West Texas: Lubbock, Midland and Odessa. They're about a 2-hour drive time away. So now, offering a lodging alternative for those customers, and there are some very good slot players coming out of those markets, to spend an overnight with us and extend their stay has really early on produced some encouraging results.
Operator: Our next question comes from the line of Joel Simkins with Crédit Suisse.
Joel H. Simkins - Crédit Suisse AG, Research Division: A couple of follow-ups, I guess, to Sean's questions I guess. As we start to think about 2015, we're obviously going to have very easy comps, hopefully into the first quarter given the weather. So with that in mind, kind of what you're looking at -- I haven't got my weather forecasting crystal ball out yet. But I guess maybe with that mind, perhaps also, let's just say lower gasoline prices. I mean, it does that give a little bit more confidence on the consumer heading into next year?
Jay A. Snowden: Well, I think Joel, you laid out well. I mean, Q1, we would all hope weather impact is less severe in 2015 than it was in 2014. It really did start in December. So again, if weather works in our favor, we hope that our guidance figures here are a bit conservative. To be determined. Gas prices, we really haven't seen over the years that that's a material impact, the good or the bad, as those prices to grow and decline. So I would not bank on that. But certainly, as we look at Q1 in particular next year, given the severe declines we experienced in '14 and given the modest improvements we're seeing that I mentioned earlier, sequentially in the database, we would hope that Q1 would show some level of improvement versus what we've seen through most of 2014. But beyond the weather impact at Q1, it's hard to say at this point what will happen in 2015.
Timothy J. Wilmott: Joel, the only other thing I'll add to that is what's got me encouraged about 2015 is the maturity of our development pipeline with the opening and the maturity of the hotel at Zia, the 2 VLT operations in Ohio and, knock on wood, we get a favorable outcome on election day, the opening of our new Massachusetts facility in the back half of 2015. Our development pipeline is, I think, going to generate some very positive momentum for us as the year progresses next year.
Joel H. Simkins - Crédit Suisse AG, Research Division: If all goes well in Massachusetts, I mean, ultimately, how long a window do you think you'll have before any incremental competition opens up in that state?
Timothy J. Wilmott: Difficult to say, but we think it's going to be somewhere in the 2.5- to 3-year neighborhood. We continue to expect our facility to open up in June of 2015 if we get a favorable outcome on November 4, and then it's probably going to be 2.5 to 3 years. So a lot has to happen. As you know, both MGM and Win have not started their projects yet, waiting for the outcome of election day. So that's our best guess at this point.
Operator: Our next question comes from the line of Thomas Allen with Morgan Stanley.
Mark Savino - Morgan Stanley, Research Division: It's Mark Savino on for Thomas. Just, obviously, the higher racinos, you've had very strong openings at strong properties. I'm just wondering if you could maybe give us some color as to how much of the EBITDA outperformance versus your guidance came from the racinos versus your existing properties?
Jay A. Snowden: Mark, it really was a combination of the 2. We don't get into that level of detail property-by-property as you know. But I would say that our Charles Town property and Penn National really had solid Q3s that drove a good portion of the guidance beat for Q3. And then the traffic as you mentioned, opened up well. Mahoning Valley has been a really impressive story as we closed out September. You saw the results in October, it looks good again following up on what was a strong opening. But it was a combination a factors, but it was the large property outperformance as much as it was the tracks in Ohio.
Thomas Allen - Morgan Stanley, Research Division: Got it. That's helpful. And then just on Columbus specifically, I know year-over-year trends at that property also improved this quarter, so I guess I wanted to get a little more color as to some of the underlying trends you're seeing there. And then, I know you had previously said that some of your customer base at Columbus actually comes from the Dayton markets, so wanted to know if you had seen any cannibalization yet with maybe some of those customers trying out the new Dayton property?
Jay A. Snowden: Sure. Well, we've always considered Columbus, Ohio to be a deep market. You're looking at a adult population of over 1.5 million people and very comparable to Kansas City. And as you add our results up with Scioto Downs, we're nowhere near the Kansas City market performance. So we've always said that we believe in Columbus. We've been happy with the early results but we think that we've got a nice long runway to continue to show growth in that market at our facility there. And we saw that -- a continuation of that in the third quarter. The database trends were encouraging all across the board from the high-end to low-end in Columbus. And to answer your question with regards to Dayton, true that some of our customers at the Columbus facility did come from Dayton. But that was really before Miami Valley opens. Once Miami Valley opens, the majority of those Dayton customers started to frequent that offering. So we have not experienced much of an impact, not really, nothing material quite frankly and you've seen the state results for the month of September since we opened Dayton on our Columbus property. So Dayton -- our Dayton property is now competing largely with Miami Valley and no early impact to Columbus.
Timothy J. Wilmott: Mark, since we've opened a lot of new properties in the last 5 or 6 years, we've said in the past that it takes about 3 or 4 years for new property to fully mature. And we just had our second anniversary in Columbus a couple of weeks ago. So we still think we have another 1 to 2 years of increased penetration in the Columbus market to get to the full potential of that facility. So we're still growing the market and penetrating new households and I think that's going to continue as I said, for another couple of years.
Operator: Our next question comes from the line of Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank AG, Research Division: I just had a question regarding the Southern Plains segment. When -- obviously, we look at the numbers and try and make an assessment of what's real, operating expense reductions versus what is the removal of Argosy Sioux City year-over-year from the comps, and obviously Baton Rouge. Would you guys be able to help us a little bit about how you're controlling cost at say, the go-forward portfolio? Say St Louis as well as the Illinois properties in Riverside?
Jay A. Snowden: Sure. One of the things that I would note about Southern Plains, Carlo, and you know this, is that a couple of the states that report there report on gross revenues, Missouri and Illinois. So there, even with regards to how you forecast revenues and how you track revenues, what those look like for -- again, for us, that's 5 properties, 3 in Illinois, 2 in Missouri, might look different than it does for us. So on a net revenue basis, declines tend to be less than what you see on a gross revenue basis because we are controlling our cost there. And our cost control measures really focus on -- primarily in the areas of labor management and our marketing expenditures, although we have taken a hard look at areas that, in the past, we've deemed to be uncontrollable, such as facilities. And we've had great results there. Our property and regional operating teams, I think, are best-in-industry and we share practices amongst them. And we think that we can continue to adjust as long as the environment stays about where it is and no worse, we can adjust to that and continue to preserve our margins as we have throughout 2014.
Carlo Santarelli - Deutsche Bank AG, Research Division: So Jay, if I asked it a little bit differently, if we looked at year-to-date, just OpEx, through September at the overall Southern Plains, I mean it looks like it's trending down somewhere in the mid-to-high teens year-over-year. Could you maybe try and put parameters around what percentage of that is the go-forward asset base?
Jay A. Snowden: Not sure I follow the question, Carlo.
Carlo Santarelli - Deutsche Bank AG, Research Division: Well, I'm trying to effectively isolate how much operating costs have been out of the business this year with what's going forward and what we're just taking out with Sioux City and Baton Rouge. And trying to get a better sense as we look ahead.
Timothy J. Wilmott: Why don't we do this, Carlo? I think I understand the question now. Why don't we take that question offline and we'll get back to you with a more thoughtful answer?
Operator: [Operator Instructions] Our next question comes from the line of Joe Greff with JPMorgan.
Joseph Greff - JP Morgan Chase & Co, Research Division: Carlo took my the Southern Plains OpEx-related question, but my other question, a rather easy one. Saul, maybe over the next 5 quarters, by quarter, [ph] if you can give us the cadence of advances to the tribe in San Diego?
Saul V. Reibstein: I don't have 2015 spend information with me, Joe. The spend at the tribe in Q3 of this year was $18.2 million, taking us up to $40.7 million for 3 quarters. We expect to get to about $76 million by the end of this year against a total spend of approximately $360 million. And of the remaining spend, 2/3 of it will occur in '15, the balance in '16.
Operator: Our next question comes from the line of George Smith with Davenport Asset Management.
George Levin Smith - Davenport Asset Management: Just wondering if you could talk about how capital priorities have changed now that we've got the 2 Ohio properties behind us, soon we'll have some conclusion in Massachusetts and I guess with the exception of maybe a wildcard in New York, spend will be down. So I'm just wondering how you think about capital allocation now over the next 2 years?
Saul V. Reibstein: I think that we will be extremely consistent with the record that Penn National has followed in its history in that, to the extent there are capital needs for additional development or acquisition that we will look first to fund those with increased debt at the same time of keeping total leverage within our comfort range below 6x and utilize the debt markets to fund capital expansion as we have in the past.
Timothy J. Wilmott: But you're right, George. We certainly recognize that as we start to conclude Massachusetts next year, continue Jamul, we still obviously have to look at opportunities to continue to grow and use our balance sheet and the opportunities out there to capital markets to continue to grow beyond what is, I would characterize, a very healthy development pipeline today. And that's going to be our continued focus, to try to find the right opportunities and be disciplined allocation -- allocators of capital to fund these high-return projects that I think you're going to start to see realized as we evolve into 2015.
George Levin Smith - Davenport Asset Management: Yes, I guess more top of mind for me would be at which point does -- especially with the stock here, does a buyback become a more material consideration?
Saul V. Reibstein: George, as you know, we considered that option on a regular basis. We have, in the past year, discussed that option with our board and we continue to believe that the most effective use of our capital is to continue the growth and expansion of our property base. And that will continue to be the philosophy for the immediate future.
George Levin Smith - Davenport Asset Management: Okay, and I may be repeating an old question, but the -- if you could just talk about how much, if anything, is left in terms of cost reductions, whether it be operating costs or overhead and margin improvement. And then what do you kind of expect to see in the way of flow-through as we get into a period of easier comps and hopefully, slightly better revenue trends?
Jay A. Snowden: Sure, George. This is Jay. Listen, we -- this is something we work at every day as an organization. And for as long as revenues don't decline steeper than they have over the course of what you've seen in '14, you've seen ever margins hold up quite well. So we're prepared to continue to do that. It becomes more challenging if the environment of revenue declines continues on beyond much of what you've seen here the last couple of years. But certainly, with regards to flow-through, assuming that Q1, we see some level of improvement from a revenue perspective, outside of the gaming tax impact, I think you can assume most of that will be able to flow down quite nicely in the majority of our markets, given how tight our cost structure is across the enterprise.
George Levin Smith - Davenport Asset Management: And can you just give me some feel for the onetime cost from this year, whether it be preopening cost or Massachusetts spend? Just kind of sum total of things that hopefully won't be present in 2015?
Jay A. Snowden: George, there's a number of those items. Why don't we give that a little bit more time and we'll get back to you directly with that as we think about Massachusetts preopening and then a couple of other things that out there and we'll follow up with you on that answer.
Operator: [Operator Instructions] Our next question comes from the line of Felicia Hendrix with Barclays Capital.
Demetri Typadis - Barclays Capital, Research Division: This is actually Demetri for Felicia. Just regarding Massachusetts. I know a number of politicians that are running for governor have publicly stated they push for the Springfield project, MGM's project, to stay alive should the repeal pass. I'm just wondering if you've had any similar conversations or any indication that Plainridge could kind of get some support for a similar carve-out.
Eric Schippers: No, we have been singularly focused on a successful outcome on election day. Haven't given any thought or discussion at all to alternatives or speculation that politicians who are running for higher office may be throwing out there. So we're just focused on, at this point, just getting the vote out.
Demetri Typadis - Barclays Capital, Research Division: Great. And then in New York, is there a scenario you can envision as far as -- let's assume you get awarded the license, how are you thinking about competitive pressures potentially in Northern Jersey but also -- I guess it depends also who else gets awarded the license, whether there's 2 Catskills license or just 1 or 3 or 4 in that state total. But how should we be thinking about that and is there a scenario in which you may reconsider the development?
Jay A. Snowden: Demetri, a lot depends on what's going to happen with where these licenses get allocated. We continue to believe -- maybe we're not entirely correct, but we continue to believe that the Catskill region will get 2 of the 4 licenses and -- one in Orange County, one in Sullivan County, the Catskill Region. I continue to believe, and I'm a resident of New Jersey, that threats of northern New Jersey casinos are not a done deal. There's -- it would have to go back to the voters of the state of New Jersey, and there's a lot that is involved with that and the protection of Atlantic City. So if we were fortunate enough to get the Orange County license, and there is one in Orange County, one in Sullivan County, we are very confident to move forward with that $750 million-plus development with our partners, The Cordish Companies, if we're fortunate enough to get that award.
Demetri Typadis - Barclays Capital, Research Division: Alright, great. And just one quick housekeeping item. You mentioned Dayton seems to be a slower ramp, at least relative to Mahoning. It sounds like both are going well, so congratulations on that. But as far as the impact from that onetime item, when you're saying it's a slower ramp, are you accounting for the add-back for that or is it in general, just a slower ramp for that property?
Jay A. Snowden: My comment, Demetri, with regard to being a slower ramp was just relative to what we had forecasted between the two. Mahoning Valley has outperformed what we anticipated, and Dayton is a bit behind what we anticipated. And I chalk that up to it being a more competitive market, sharing some of that Dayton customer base with Mahoning Valley and Columbus being a pretty mature market up to this point. So we're still feeling very good about the prospects of return on our Dayton facility and certainly, is not going to be the lowest performer within the state. But I do think it'll be a slower ramp as compared to Mahoning Valley or what we anticipated originally.
Operator: Our next question comes the line of David Rainey with Broad Run Investment Management.
David Shaffer Rainey - Broad Run Investment Management, LLC: My question is, by the time MGM opens its casino in Washington, D.C. area sometime in the second half of 2016, the 2 Baltimore area casinos will have been open for anywhere between kind of 2 to 4 years, by my estimates. And so my question is, when we're 2, 2.5 years out from today, what incremental impact do you all think the opening of MGM will have on Charles Town, particularly given that the Baltimore casinos have been opened for so long and have already ramped up nicely?
Jay A. Snowden: So taking that question maybe and approaching it a bit differently, the Horseshoe Baltimore, as I mentioned in my earlier comments, opened a couple of months ago and the majority of our Baltimore-based business at Charles Town had been cannibalized when Maryland Live! opened over the course of their first 12 to 15 months of operation to a point where we haven't even seen a material impact to our Charles Town facility, slots or table games since Horseshoe Baltimore opened. So hopefully that continues to be the case. With regards to our database, really, our database today is a Western Maryland- and Northern Virginia-based customer. And so there will be some impact obviously from MGM, National Harbor, when they open in middle of 2016. But difficult to say at this point, given that you're looking at 2 years from now, exactly what that impact will be. But no doubt there will be some additional impact though a large portion of the remaining database at Charles Town would still be closer to our facility than it would MGM National Harbor.
David Shaffer Rainey - Broad Run Investment Management, LLC: Okay, so Jay, as a follow-up on that, our firm's in Northern Virginia, I'm pretty familiar with the area. I would think that a D.C. customer or a kind of inside the beltway-type customer around D.C. on the Virginia side would likely sample and trial one of 2 Baltimore-area casinos pretty substantially over the next couple of years rather than going out to Charles Town. And that's just either time of the day or the degree of traffic or just Baltimore is simply closer. Have you all started to see that Northern Virginia kind of tighter to DC customer already migrate north up to Baltimore?
Jay A. Snowden: Not to a large extent. Like I had mentioned earlier, most of the impact to Charles Town to date has been more Baltimore-based customers. There has been some trials. But I think it's encouraging that through the first 2 months of Horseshoe Baltimore, we haven't seen any incremental impact, which would lead to the conclusion that most the people who have tried Maryland Live! maybe are now thinking about spending some of their visit and gaming time at Horseshoe Baltimore, but not to the impact of our Charles Town facility. So we really haven't seen anything incremental over the course of the last 4 or 5 months that would lead us to believe that we are going to leak any additional business from Northern Virginia to the Baltimore casinos in advance of National Harbor opening in mid '16.
Timothy J. Wilmott: One of the cautions, David -- this is Tim. It's only been 2 months now with Horseshoe Baltimore and we know that it takes a little bit more time than that to really understand the impact of a new -- entering into a marketplace. And I certainly can promise you that by the end of '15, early 16, we'll have a much better handle on the 2 operations in Maryland and what we're seeing out of the DC, Northern Virginia markets and be able to answer your question with a much higher degree of precision as more time passes.
Operator: [Operator Instructions] Our next question is a follow-up question from the line of Joel Simkins with Crédit Suisse.
Joel H. Simkins - Crédit Suisse AG, Research Division: Just one more follow-up and perhaps I guess, this is for Tim and Eric Schippers. I guess, the last time we had spoken, we talked a little bit about the historical racing opportunity in Texas. I'd love to get your thoughts on that, and then perhaps Eric can chime in a little bit on sort of the legislative outlook for more traditional gaming expansion in Texas next year as the legislature comes back?
Timothy J. Wilmott: Eric, why don't you go ahead?
Eric Schippers: I can start on the political front. There's a gubernatorial race, of course, in Texas that may turn Texas even more conservative than it is today. So there's not a lot of near-term hope for full-on class 3 gaming expansion in Texas. Though we are still going to be sharing some of the same message points we're using Massachusetts about the amount of cross-border revenue that is lost to neighboring states and we'll have a coalition in Texas with the horseracing industry that's going to keep pounding away on those. So we're not giving up the effort, but certainly, politically, the climb may get a little bit more steep. The historic wagering is separate completely from our efforts on the class 3 front. This is something that has been approved by the Racing Commission by a vote of 7 to 1 and the commission is still working through the application process. We're going to be prepared to apply for games when they're ready for us. I don't know if B.J., from a development perspective, wants to weigh in on that.
William J. Fair: I just think that the -- as Eric had stated, the commission, on their approval -- there is some -- there are some legal challenges to that. And we're monitoring the situation closely and we'll be prepared to submit an application at such time as the commission is prepared to accept applications. And we're just working with them right now through that process and understanding what that litigation may bring.
Timothy J. Wilmott: So Joel, we're not going to take any action as you heard until we know the courts have cleared the way and that the Horse Racing Commission of the state of Texas is willing to accept our application. And that's a timing to be determined yet that we don't have an accurate handle on as we watch what happens in the court system in Texas.
Operator: Our next question comes from the line of Kevin Coyne with Goldman Sachs.
Kevin Coyne - Goldman Sachs Group Inc., Research Division: Thanks for taking the questions. Just one for Tim. I know in the past you've spoken about the aggressive promotional strategy that the new Horseshoe properties took in Ohio. And we certainly saw them in the gaming board disclosures. But when you look at Baltimore, are you seeing or sensing a similar strategy? Or alternatively, can you remind us when the promotional acceleration took place in Ohio? Was it after 3 months of building a database? If you can give us any color there, that would be great.
Timothy J. Wilmott: Kevin, I'll let Jay answer that question for me.
Jay A. Snowden: Hello, Kevin. We really -- again, just a reminder, it's been 2 months, so it's hard to predict what the next 3 months may look like. But up to this point, we have not seen out of Horseshoe Baltimore, the same level of heightened reinvestment or elevated promotional activity that we did from the 2 -- Rock Gaming Caesars, Horseshoe properties in Ohio. And that really was, right out of the gate, both Cincinnati and Cleveland, they were very aggressive from opening day through the first -- I believe it was up to 9, 12 months. We have not seen that yet out of Horseshoe Baltimore.
Timothy J. Wilmott: The other thing, Kevin, in Maryland, the tax rate is a bit higher than what -- on the slot side, than what we had in Ohio. So that certainly makes it much more difficult to be very aggressive from a marketing standpoint when the tax rate is that much higher in this jurisdiction.
Operator: Our next question comes the line of Daniel DeYoung [ph] with Columbia Management [ph].
Unknown Analyst: Just curious, so, if you could just provide some clarification around your leverage comfort and how you guys go about thinking about leverage with the leases and the rent in place on a lease-adjusted basis when you think about pursuing other capital projects and acquisition?
Timothy J. Wilmott: Saul?
Saul V. Reibstein: Sure. It's actually one of my favorite topics because it gets me right to my favorite multiple of factoring in our long-term lease at a 8x multiple which someday, somebody will explain to me how that logic prevails. But having said that, our leverage ratios number, first and foremost, are well within our comfort level of our existing bank agreements. And even on an absolute overall basis, are well within our comfort levels currently and historically below the 6x leverage ratio, even including if you will, the long-term lease, which I would remind everyone that in times of rising interest rate, represents a long-term fixed-rate obligation at a relatively low rate. So I think our current leverage situation is comfortable, and we would expect to maintain those comfortable levels going forward.
Unknown Analyst: And just one follow-up. When you think about if you were to have an opportunity to do a much larger acquisition, would you consider equity as a proponent or a component of the -- of an acquisition if you were to do something at a large scale?
Saul V. Reibstein: Not likely. Our history has been to finance acquisitions, both M&A transactions, as well as greenfield, through the debt markets. We've been very successful in that approach and everything that is on the horizon at the moment is consistent with that historic approach. So equity is not something that is top of mind in any way at the moment.
Operator: We have no further questions at this time. Mr. Wilmott, I'll now turn the call back over to you.
Timothy J. Wilmott: Thank you, Amanda. Again, I apologize for the technical problems we had on our end early in the call. I want to thank everyone for their attention and look forward when we get together in the first quarter of 2015 to give you further updates in our development pipeline and obviously, hopefully, further continued improvements to the consumer as we're seeing it in our businesses. And I hope our results again demonstrate that the team here at Penn National continues to operate very well in a challenging environment. And if that environment improves, we certainly believe we can continue to improve on these results as well. Take care, everybody.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.